Operator: Ladies and gentlemen, thank you standing by, and welcome to the News Corp. First Quarter 2011 Earnings Release. (Operator Instructions) I’ll now turn the conference over to Reed Nolte, Senior Vice President, Investor Relations, News Corporation. Please go ahead.
Reed Nolte: Thank you very much, operator. Hello, everyone and welcome to our first quarter fiscal 2011 earnings conference call. On the call today are Chase Carey, President and Chief Operating Officer, and Dave DeVoe, our Chief Financial Officer. Rupert Murdoch will not be joining us today as he’s been traveling overseas. First, we will give some prepared remarks on the most recent quarter, then we’ll be happy to take your questions. First from the financial community and then from the press. This call may include certain forward-looking information with respect to News Corporation’s business and strategy. Actual results could differ materially from what is said. News Corporation’s Form 10-Q for the three months ended September 30, 2010, identifies risks and uncertainties that could cause actual results to differ. And these statements are qualified by the cautionary statements contained in such filings. Additionally, this call will include certain non-GAAP financial measurements. The definition of and a reconciliation of such measures can be found on our earnings release in our 10-Q filing. And with that I’ll turn it over to Dave.
David DeVoe: Reed, thank you, and good afternoon, everybody. As you all have seen in today’s earnings release, we are very pleased with our start of fiscal 2011. Our first quarter segment operating income increased 8% over a year-ago levels, led by the continuing strong growth at our Cable Programming, Television and Publishing segments that more than offset difficult comparisons at Filmed Entertainment. Net income for the quarter was $775 million, a 36% increase over the year ago results. Earnings per share also increased 36% to $0.30 this year from $0.22 reported a year ago. This strong net earnings growth was driven by the higher segment operating income, as well as improved earnings from affiliates, primarily at BSkyB led by gain from the sale of their Easynet business. Also included in this year’s first quarter result is a tax benefit of approximately $90 million or $0.03 per share related to the resolution of various tax items. You will note that affected this quarter, we have combined the previously reported Book Publishing, Integrated Marketing Services and Newspaper Information Service segments into a Publishing segment. This reporting change recognizes both the way we group these businesses and a smaller percentage of total earnings that these businesses now represent. Now, I’d like to provide some additional context on the performance of the two of our businesses. Let’s start with the Cable Networks, which is our largest profit generator and accounted for over 57% of News Corp.’s total segment operating income this quarter. This segment continues to drive overall company results, with first quarter segment operating income contribution of $659 million, this up 28% from last year and reflects double-digit growth of the majority of our channels. This growth continues to be top line driven, with segment revenues up 17%. Advertising revenues at the Cable Networks increased 20% over year-ago levels and affiliate fees grew 40%, reflecting particularly for strength at the Regional Sports Networks, FOX News and our international channels. The strength of our Cable Network franchise continues to grow. As Fox News in October, we drew more viewers than all of our news competitors combined. FX recently ranked as the number seven most popular cable channel among adults, 18 to 49. Ratings at the Big 10 networks have been setting records and our fastest earnings grower, the international channels including the Star, Fox and National Georgraphic-branded channels continue to expand and capitalize on particularly strong advertising markets, especially in India. At our Film segment, first quarter operating income was $280 million, a good result but as expected, well below the $391 million we reported a year ago. As we mentioned on the last quarter’s earnings call, this anticipated decline reflects the very successful worldwide theatrical release of Ice Age: Dawn of the Dinosaurs in the prior year’s result. Contributions from our television production businesses were up year-over-year, primarily reflecting the initial syndication release of two major shows, How I Met Your Mother and American Dad. At our Television segment, operating income in the quarter of $105 million increased by $67 million. This improvement was driven by strong revenue growth at our television stations, partially offset by modestly higher losses at the broadcast network from program cancellation costs. Station advertising revenues were up 22% in the quarter compared to a year ago; reflecting improved local advertising trends, particularly in the automotive, telecom and financial categories. Political revenues of $26 million were strong in the quarter and stayed healthy through yesterday’s election. Turning to SKY Italia. Revenues increased 2% in local currency terms, as compared to the prior year’s quarter, primarily driven by the subscriber upgrade tickets and advertising for the World Cup coverage. SKY Italia generated segment operating income of $82 million, which is down from last year’s $128 million result. This result primarily reflects right’s cost associated with full coverage of the World Cup and increase subscriber acquisition costs related to the combination of both higher gross additions and the higher takeout of our full installation offer. As mentioned on our last earnings conference call, SKY Italia’s consumer offering was reorganized in July, more than doubling subscribers programming package choices. These new offerings also make the high end’s standard service to our subscribers. Results to date indicate that this increased consumer choice is stimulating subscriber growth, giving us increased confidence that we will hit our profit growth in subscriber targets this year. In the quarter, higher gross additions totaling 193,000 and lower churn net of SKY Italia of 58,000 additional subscribers. Now, this compares to no subscriber growth in the first quarter a year ago. Sky ended the quarter with 4.8 million subscribers. The penetration of additional subscriber services such as high-def PVRs and second boxes which helped reduced churn doubled over the last year with approximately 70% for our subscriber base taking at least one of those services. Multi-ARPU in the quarter average EUR43 as compared to EUR42 last year. In our newly defined Publishing segment, segment operating income of $178 million increased over 50% from the $118 million in last year’s first quarter. This improvement is primarily due to increased advertising revenues in all three of our major market newspapers. Also note that this improvement is despite the absence of Dow Jones Index business, which was sold last March. The year-ago results included about $40 million in segment operating profit from the Index business. And that our other segment, we reported the first quarter segment loss of $156 million, this is $30 million higher than a year ago. This increased loss primarily reflects $70 million in lower search and advertising revenues at MySpace versus a year ago. And finally, before I turn the call over to Chase, let me address our guidance for fiscal 2011. And as a reminder, just as we did at the year end, we measured this guidance excluding from fiscal 2010 the $500 million [inaudible] litigation charge, resulting in phase of $4.46 billion segment operating income for comparative purposes. In early August, we gave guidance in our segment operating income growth rate in fiscal 2011 to be in the low double-digit range above the $4.46 billion fiscal 2010 adjusted results. Since that time, the U.S. dollar has weakened more than we expected thereby, increasing our foreign source earnings. On the other hand, results at MySpace have been below planned, we’ve had to absorb because of cable carriage negotiation and our new film releases was somewhat below our original expectations. As a result, taking all these items into account and based on all of the assumptions inherent in our projections, we are maintaining our operating segment income guidance for fiscal 2011 to a growth rate range in low-double digits above fiscal 2010 adjusted results. And with all that, I’d like to turn the call over to Chase.
Chase Carey: Thanks. As Dave has summarized the financials pretty well for you, I thought I’d spend a few minutes adding a bit of color commentary to the results. While we feel good about our performance, we feel even better about the strides we’re making, to strengthen our business and position them for long-term growth. Clearly as Dave said, our Network business both broadcast and cable is the lead segment empowering this growth. It’s understatement to say there’s a lot of focus on our retransmission agreements in the last few weeks. These deals are critical to driving the Fox Networks’ financial success to reflect its real value. Today, we have agreements in place with four of the largest distributors and have now set the market for our Broadcast business. Over the next couple of years, as we continue to close new agreements, we will be taking this business to a whole new level of profitability. However, the growth of our network is equally driven by a great and growing set of cable channels. From the incredible strength of FOX News to FX original series like Sons of Anarchy and The League, the National Georgraphic event programming like Great Migrations to emerging sports network like Fox Soccer and Fuel, our U.S. Channels business continues to grow. The success of these channels has enabled us to continue to add subscribers, to earn fees that reflect the increased importance of our networks to customers and it could drive great advertising growth. Our Networks business outside the U.S. has been even more dynamic growth story as we take advantage of our leadership position in the emerging and growing international pay-TV market. This growth story continues to be big and broad. For example, a geographic region like Asia, which have previously not been a significant contributor as others, has really stepped up in the last quarter, plus. At a local level, our TV stations continue to do a great job about taking market share and driving efficiencies. And all our Local, National and International TV businesses are continuing to benefit from a very strong advertising market. Our stations are looking at 20% year-on-year growth in the December quarter, while network scatter continues to be priced at double-digit increases to the upfront. So, the broader economy still faces great uncertainty. There are no signs that these anxieties are impacting the ad market as we begin to look beyond January 1. Nonetheless, we remain cautious and alert for the risks. Our Networks business is our biggest. We had key initiatives underway across the company. In Italy, we’ve began to recapture some of the growth that we had before the challenges with [inaudible] during the past 12 months, plus. Our short-term priority has been top line growth, particularly subscribers. And we’ve begun to achieve those objectives through new pricing and packaging, technology, leadership and re-energized marketing. We’re certainly not declaring victory, but I believe we’re making the right moves and making headway. Germany is even more of a work in progress. However, there, again, I believe our management team is making the right moves and beginning to get things going in the right direction. We clearly have challenges ahead, but the market opportunity is unique and we have a real combination of content and technology leadership to build on. At our Content businesses, Fox Film has had a disappointing few quarters without breakout hits. But is important to note, we have avoided any big loss films and the industry noted for them. We continue to be led by a management team that is second to none and one that knows how to manage this complicated business. We feel great about our big holiday releases and in the next year. In addition, we’re strengthening our business for the long-term by reaching agreements with James Cameron, the next two Avatar films and concluding an extension to our film financing structure. Our TV production business continues to prove its strength with a series like Modern Family, which is well in its way to the highest first cycle per episode syndication cable revenues ever. From a Fox Network perspective, the new season has been a bit of a disappointment and we would like to have a gain six in the World Series, but the strength of the NFL and the ad market has enabled us to largely offset those shortfalls. More importantly, we’re very excited about the new energy at American Idol and the continued progress on X Factor for next fall, with the potential to build real year-round tent poles. In our publishing business, we continue to build on our leadership position and traditional print, with papers like the Wall Street Journal continuing to grow while others decline. At the same time, we’re building a digital business for our news content that has a healthy and exciting future. These digital businesses will take time to emerge and the explosion of tables the next few years will be a real driving force. We feel very good about the launch of our digital subscription product in the U.K. and believe it’s a great foundation to build on. The final business I want to touch on is MySpace. We’ve been clear that MySpace is a problem. We recognize that we had to redefine and largely rebuild this business. We believe the foundation that to warrant this effort and it has been our focus this year. We’ve made adjustments in the cost structure most recently by consolidating ad sales. And most importantly, in the last few weeks, we have relaunched MySpace with a focus on social entertainment. We feel really good about this relaunched product and it has been generally well received by the opinion makers in the business, but we recognized a critical issue is building interest with consumers. We also recognize the challenges we face in doing so. The current losses are not acceptable or sustainable. Our current management did not create these losses, but they know we have to address them. I give them great credit for pouring their hearts and sweat into creating a new great MySpace experience that has the potential to be an exciting business for us. We equally know we need to make real headway in the coming quarters to get this business to a sustainable level. Overall, when you have as many businesses and as many regions as we do, it’s unlikely that they will all be operating at an optimum level on a short-term basis, although we strive to make sure most are. I believe our core job is to make sure we have great management teams running these businesses, that we take advantage of opportunities, aggressively address problems and have plans in place to build long-term value in our increasingly complicated digital world. We believe we’re achieving these goals. Thanks, and I’ll turn it back to Dave and Reed and we’re happy to take questions.
Reed Nolte: Operator, if we could take questions from the financial community please.
Operator: Okay. (Operator Instructions) Our first question will come from the line of Michael Nathanson, Nomura.
Michael Nathanson: Hey, thanks. I have one for Chase for MySpace. You mentioned the relaunch, I wondered how much time needs to pass before you judge whether or not it’s successful? And how you judge whether or not it’s successful, what are you looking for? And if it doesn’t work, what happens next? So, that’s one look at.
Chase Carey: I’m not going to put a specific date. These are fluid businesses. But I think this is something we looked up, judging quarters not in years. And I think our goal is to get to a place, essentially probably that has got a revenue, the top line that is going in the right direction, and a clear path to profitability. And I think those are the goals we’ve set for that business. And I think the product we launch, we feel really good about. We recognize, we have to build an audience, we’ve got an audience, we’ve got still great reach that gives us the foundation to bring an audience to that products. But our traffic number is still not going in the right direction, and we have to stabilized that and have a predictable path forward. And make sure we got the right cost structure. And again, a clear path to be a profitable business.
Michael Nathanson: Okay, thanks.
Operator: Our next question comes from the line of Anthony DiClemente, Barclays Capital. Please, go ahead.
Anthony DiClemente: Just one question for Chase. Had a question around your philosophy around making Fox TV’s to your content available on digital platforms. It seems as though to me, you’ve been a bit more liberal in terms of the Fox content that’s available on Hulu, Fox.com. You mentioned Modern Family in your opening comments and I guess you’ve licensed the digital rights to ABC because you can watch the most recent episode of Modern Family on ABC.com. So, I’m just wondering how that strategy is going, if you can give us an update on your thoughts there? And if you plan to continue along a more open path in terms of Fox content online? Thanks.
Chase Carey: Great. And I guess first, I just clarify there that shows like Modern Family there are probably more ABC decisions based on rights or license. I’ll talk about our shows, but probably decisions you’re citing on things like Modern Family are more driven by ABC as the network, the licenses, the network rights. I mean I guess what I say, as a broad-based statement, as I think this digital arena is clearly still evolving, I think it is important that – we’re very focus on essentially, how do you manage this rights and really, there are a handful of key issues. What are the windows, what’s the ad load and what’s the pricing to the degree that you’re dealing with some form of payment structure? Obviously it’s what the products that goes in it. I think all those things are things we’re evaluating. Obviously, in places like Hulu we’ve talked about a subscription service to go with the pay service. I think as we go forward with our traditional distribution partners, it’s important we deal with these issues, constructively. We think the digital arena is a very important one. I think particularly the mobile platforms. I do think the iPad brings a whole new dimension of opportunities to the digital arena. But look scarcity of our products is a tremendous value. I think we need to make sure we’ve manage that product. We managed its availability intelligently. And I think that is very been much a work in progress and I certainly wouldn’t say today. If we’ve got a set of rules in place that we’re looking to as long-term goals, I think we learn as we go. And I think those practices will continue to evolve. And I do think it’s important that the digital platforms continue to develop dual revenue stream options. I mean I do think in fragmenting world, it’s difficult to rely solely on the advertising supported platforms. And I do think dual revenue streams are critical and those options, the digital world, clearly or even earlier stage than others. So I think this arena will evolve. I think you’ll see how we manage content in that context. Continue to evolve as these various business models evolve.
Anthony DiClemente: Okay, thanks, Chase.
Reed Nolte: Next question, please.
Operator: And that comes from David Bank, RBC Markets. Please, go ahead.
David Bank: Thanks, guys. Kind of a follow-up on the first question on the MySpace side, thank you for the color. But there are a lot of kind of other operations in there within other and I was wondering if you could give some more color in terms of whether or not you saw room for operating improvement and what the order of magnitude could be for things like mobile or the Fox and network or kind of the refresher on what’s in there, what’s working, what can be working better and what the order of magnitude of improvement could be in the intermediate term?
David DeVoe: Yes. The businesses that are within other, there’s only two other businesses. Fox Mobile and it’s our news outdoor business. All right …
Chase Carey: And IGN.
David DeVoe: And IGN, related to MySpace, I would say there’s not substantial room for growth within those businesses.
David Bank: Okay. So, it’s pretty much just MySpace and that’s the opportunity for improvement?
David DeVoe: That’s correct.
David Bank: Okay, thank you very much.
Operator: Your next question comes from the line of Tuna Amobi, Standard & Poor’s.
Tuna Amobi: Thank you very much. My question is on Avatar, so you decided to go with two more installments on that and it seems like you say just put together the financing on that. I’m trying to get a sense on how you kind of frame the upside from this franchise? And it seems like you having a three-disc set out this November. And I believe you had a modestly successful re-release of the title. So, as you think about this franchise going forward, can you help us perhaps understand how the potential upsides as you see it? I know you spent a significant amount on the marketing for the first installment, which obviously was paid off. So, I’m just trying to – if you were to look out next two, three years, how would you – how can we kind of think about this franchise and the potential strategy which you intend to use to monetize that?
Chase Carey: Well, I mean if you – I think with the sequel, it’s been a whole different level. I mean sequels to the most successful film ever by practically a factor of two. If you’re asking, it’s got two sequels, you can look at that. So, there are a couple years – there are a few there’s down the road. But those are obviously enormous events and that is a film without comparison or rival. An incredibly successful film, and obviously, an incredibly important franchise for us. I mean it’s really more than film in many ways this is up, it is a franchise for us to develop and I think one of the great opportunities you get with these sequels is what the lead time and knowing the product you’ve got, it enables you to develop a lot more things around it. Whether it’s merchandise, licensing, gains, a whole experience that sort of leads into this now that you’ll have the anticipation coming towards it. So, it is – you really do need to think about it as a franchise that – I think it’s hard those, two sequels movies coming. In the short term, and they’re certainly important, we’re excited about the home video product we’ve got at Christmas. We still haven’t exploited really the 3D, home entertainment experience because the 3D market is still in its infancy, so that opportunity is down the road, particularly is. I mean this is a franchise without comparison that we need to continue to make sure we in every way possible and I do think the digital world opens up in array of this front [inaudible] develop …
Tuna Amobi: Just a quick follow-up, Chase. Without going into more detail on it on the deal with James Cameron, would you say the terms are roughly bad or worse, or the same for the coming installment?
Chase Carey: I’m not going to – we don’t get into terms I mean on the terms we have with key talent. We’re very happy with them. We’re thrilled to have the pictures. We’re thrilled to be working with Jim
Tuna Amobi: Thank you.
Chase Carey: An easy to talent [ph] and these are great franchises for us.
Reed Nolte: Thank you, next question, please.
Operator: It comes from Richard Greenfield, BTIG.
Richard Greenfield: Hi, two questions. One, on retransmission consent. Cable has been put out of press release when the signaled got restored the other day, basically saying that they had actually gotten better terms by basically removing programming for a couple of weeks or loosing access to programming for a couple of weeks. And we’re just curious, how do you react to that? And two, if that were actually true, does that mean we’re going to see a lot more of these protracted battles with loss programming because there actually is a benefit to the distributor by going to that level? And then two, could you just update on the BSkyB transactions sort of you filed today. And just wondering what you’re expecting now versus kind of the original time frame that you laid out back when your original deal was announced and on what you’re thinking in terms of best-case, worst-case and approval process?
Chase Carey: Actually I didn’t see. I mean what I – the stuff I saw from Cable division was more sort of essentially complaining that the government didn’t get involved. So, I mean I guess I’m not sure. We were pretty clear with what we’re trying to get and I’m not going to sort of go through what were private negotiations public. But we feel good about where we are. I think we’re pretty clear about what they were trying to do and that was dragging the government into it. We did not – we don’t think the government needed to be into it. In reality, I think it would have been helpful if the government said upfront, they weren’t. They made up few noises that probably made the process more difficult or is there to make more extracted. I mean I think, protracted. I mean I think if the government have been clear upfront, they were going to stay out of it. It was private matter between private parties; it may have not gone off the air at all. But they got what they were trying to do is pretty clear all along is drag government. And I think it became clear that government while their array of parties putting out releases, that this is a battle to be dealt with between private parties. And we reached an agreement that we feel very good about.
Richard Greenfield: Thank you.
Chase Carey: And on BSkyB, no, I mean we filed today. I mean other than what I think is out public, I’m not sure this is a whole lot. I think that the E.U. has said that they’ll answer by some date, nearly this early December.
David DeVoe: December the 8th.
Chase Carey: And I think the U.K. has said they’ll position earlier or something. But I don’t think there’s a whole lot more color than that.
Richard Greenfield: Okay, thanks.
Reed Nolte: Next question, please.
Operator: Next question comes from Jolanta Masojada, Credit Suisse. Please, go ahead.
Jolanta Masojada: Dave, I just wondered if you could talk about the appetizer assumptions that underpin your full year guidance. And given the strong trends for the fourth quarter, have those underlying assumptions changed since the guidance you gave back in August?
David DeVoe: No, those guidance – the advertising guidance that remain in effect the one we told you in August.
Jolanta Masojada: And the underlying sense your saying you’re your expectation for full year haven’t changed despite the very strong first quarter trends?
David DeVoe: That’s correct.
Jolanta Masojada: Thank you.
Operator: Our next question comes from the line of Alan Gould with Evercore. Please, go ahead.
Alan Gould: Thank you. Chase, last year, your cable network margins increased about 500 basis points over the prior year. At this first quarter, they’re up another 400 to 500 basis points. Is this first quarter margin of 35.2% something that could be representative for the year? And how long can you, I realize your margins are lower than a lot of your competitors, but how long can you keep growing the margins at this kind of a rate?
Chase Carey: Well, we clearly believe we have room in our array of fronts to continue to drive this number of our channels. I mean I guess in many ways. There are channels aren’t fully distributed that we are continuing to add distribution. Obviously, when we add subscribers to the channel, it’s pretty, it’s pure bottom line. A number of the recent deals even including big channels expanded that distribution. The quality of the channels and then you get something like FOX News as it continues to drive forward in the next year or plus. We have been to a new roundup, renewals on FOX News. Again, it sort of the upfront comments. It’s really three things that really all improved those margins. Sort of again, additional – I mean I’m talking about domestic now, additional subscribers, getting affiliate rates that reflect the value of the channels. And the audience that comes with it in terms of the advertising. Probably even more so domestic, I mean internationally because in internationally, you’ve got channels that expand that reached at an even things like subscriber growth or an even faster rate when you look at places like Latin America and the rate of growth there. So, I think we clearly have real room to grow and as we’ve said competitively, when you look at our channels against those we compete with, they are much less mature channels. They have not been around as long and therefore, the positive things of being they’ve got – I think disproportionately more growth ahead of them. And [inaudible] channels continue really operate well. And again, whether it’s news or FX or its originals, channels that really perform well. And we feel very good about the ability to drive those business forward
Alan Gould: As a follow on the industry showed in the second quarter down domestic, down multi-channel homes. Are you seeing that in any of the feature generated from any of your fully distributed channels, are you seeing fully generated channels? Are you seeing fewer subs in the prior quarter?
Chase Carey: No, and in fact I think we’d looking at subs going up. But I think awful lot was read into that. I don’t – I mean if you’re good at this court-cutting issue, I just don’t see it. I mean, realistically, I mean it’s the second or third quarter, the mature market were probably a little tougher quarters, but cable down a bit. And satellite and telco is still up. And I guess still the good fundamental service that for American households is a fundamental part of what they do with their time and what they value in their life and I think it’s a service without comparison. For that, we would not be seeing that.
Alan Gould: Thank you.
Reed Nolte: Thank you. Next question, please.
Operator: And that comes from the line of James Mitchell, Goldman Sachs. Please, go ahead.
James Mitchell: Great. Thank you very much for taking the question. Chase, I think you mentioned last quarter that you were seeking sustained affiliate fee increases from the Regional Sports Networks. Can you talk about your progress on the RFM front, ideally with reference to the recent renewal with Dish?
Chase Carey: We’re not going into specifics in terms of terms with any one party or really terms in general. I guess what I’d say is the RSNs continues to be a really good business for us. I think they as well as our other cable channels were achieving their objectives and continuing to drive those businesses forward.
James Mitchell: Thank you.
Reed Nolte: Next question, please.
Operator: The next question is from Adam Alexander, Goldman Sachs. Please, go ahead.
Adam Alexander: Good afternoon. Just a question for Chase on the international channels. It looks to be a very strong result in that division. Can you just break out a little bit or more specifically where that growth is coming from? Is it ad market, affiliate fee or new channel launches, and how much is Wiki [ph] with dollar benefiting that division?
Chase Carey: The dollar helps some but that’s not the driving force. I mean if I use the phrase big and broad I think in the opening comments and that’s what it is. I mean its multiregional, multi-channel. There’s Latin America, Europe; I cited Asia. I mean on Asia, I’m actually excluding India, so it’s not talking about STAR, which is equally has been good. But it’s a good story. The ad dollars are equally. The ad dollars I think in the mid-20s year-on-year, increases. But those channels, they continue to – that’s it core TV [ph] really is good in strengthening channels. And I think you got to have quality to deliver. But it is a broad regional story, and the multi-channel story that has both affiliate and the dollar strength behind it.
James Mitchell: Do you think that businesses are ahead of what you probably would have expected 12 months ago?
Chase Carey: Yes, I mean they probably to their credit. Again, I guess in many or four quarters, but I think they’ve beaten every quarter, they’ve beaten the target I gave them. So, yes, they’ve done a really a good job. As the STAR guys, really I mean the STAR guys is the same thing. I mean it’s not just in a random way. Like I think – and I do think it’s not just saying it’s a market. I mean I think they’re doing a really good job executing and creating quality channels that stand out and have a real value. When you look at the marketer of our channels combined in some of these places, Latin America, Europe it’s extraordinary. And I think we have a real position of leadership that we can really deal on.
James Mitchell: Great. Thank you.
Reed Nolte: Next question, please.
Operator: The next question is from Jason Bazinet, Citi. Please, go ahead.
Jason Bazinet: Thanks. I just had two housekeeping questions. If I’m doing the math right, is the sale of Easynet at BSkyB, did impact your earnings about $0.02? And did the favorable FX helped your operating income growth about two percentage points in the quarter, if you could just confirm?
David DeVoe: No, Jason, it’s about $0.01 a share on Easynet.
Jason Bazinet: Okay.
David DeVoe: And the currency in the quarter is really, it’s marginal.
Jason Bazinet: Okay, okay. Thank you.
Reed Nolte: Thank you. Next question, please.
Operator: And that comes from Ben Swinburne, Morgan Stanley. Please, go ahead.
Benjamin Swinburne: Thanks. Good afternoon. Chase, I wanted to go back to the network you talked about retransmission revenue, which clearly News Corp. has led the charge on and gone the math for. But I was wondering on the cost side, as you look at the network, and particularly sports, how you thinking about this business over the long term? I think Fox, I believe probably spends more on sports programming than any other network. You’ve got, in addition to the NFL, baseball, NASCAR, is there something you think needs to change over the long term, do you think the retrans revenue stream fixes the business given how much worth costs or you want to see that will do more and more your cable properties where you build out is the Regional Sports Networks this is that’s very attractive we.
Chase Carey: Well, first, I mean and I guess on the last point, I’m really thinking about our broadcast network, more and more should be thought on the same way as cable network. And therefore, I don’t know that you’re differentiating one from the other. They got to become dual revenue businesses that receive revenues that are reflective of their strength, that’s what we’re driving the Fox network to be is a business that looks essentially much more like our cable networks. I guess in the sport point, the sports programming is always a double-edged sword. It has great strength, great value. Look at the NFL right now, in the world of fragmentation, it continues to set records. We would like, as I said, we would like another World Series game or two and that’s a variation in it, but it’s still great content in baseball. And the programming has great appeal. It is sports as a unique strength in the world of DVRs and all the like, there isn’t anything like it. There isn’t a second World Series or a second Super Bowl or a second NFC championship game. And it is has unique value in the marketplace. The issue with it is they come with big price tags. It’s been a great part of building Fox. We’ve like it to continue to be a part of building Fox, but we’ve got to negotiate rates that enable us to believe it make sense. I think our goal. We think it has been important. It’s been valuable to us. We’d like it to continue to be a part of our story. But we’ve got a make sure it’s on terms that make sense. Obviously, retransmission does help. I mean I think it would, if you’d been asset supported only business and asset orderly [ph] business, I think probably overtime, you wouldn’t find any of these sports on any other networks on that business model. But I think as they build the business model, that enables them to compete in a more level playing field. It has profitability businesses with exciting long-term futures, then it enable to compete for rights. But as with any rights, you’ve got to be disciplined and at some point rights get too expensive, though they’re rights we clearly like to have. And I’d certainly put the sports rights in that category.
Benjamin Swinburne: And just as a follow-up on some of the earlier calls on digital distribution, TV Everywhere and authentication is starting to come to fruition a little bit in the market. But you’ve made some waves around Google TV. I think someone from Google was quoted in the press in saying the, broadcasters don’t get it. And one question I’m wondering if you would address, are you thinking about different devices or different screens as a way to window this content, which is a little bit of a nuance versus how we typically think about doing, which is the calendar. In other words, would to make content available on mobile platform are on a PC, but disable it on a television screen? How do you think about that piece of the story?
Chase Carey: In the house, the difference between screens, I mean, is going to continue to diminish their sort of PC and TV. If you get more Internet-ready TVs and the like. I do think mobile is probably a more discrete platform that is obviously different because it has the really get it anywhere. I do think the iPad or the tablet devices are really going to redefine that whole mobile experience. So it’s very early stages, but I think what will be the true, I think the Apples will grow fast now through the next couple of years. You’ll really start to have it big enough universe out there to meaningfully determine how do you develop that offer, how do we build on that opportunity; it is a real opportunity for us. And I’m not sure if you went into the home system, which screens the way longer term. I think in the short-term, it could exist but I do think those screens are going to blend. And I think it does come back to figuring out probably more what is the business models for our content and what are the right terms, and I think we need to work on. It is a tremendously valuable content, it’s tremendously valuable. We need to manage it. We need to make sure as we make it available, were making it available on the right terms as much as like the movie business is done historically creating a series of Windows that went from theatrical to video to pay to free. Now, it’s talking about a VOD window that may be ahead of the DVD window. But you continue to figure out how do you create the right windows on the right business terms. I do think one of the things that I would get public about as people talk about, broadcasters versus cable. And again I think that distinction is sort of ill-founded. I mean in essence if you’re going to create original programming on a cable channel, why is that sort of ones in the real versus great in our original programming on our network. I mean its great original programming, you ought to manage accordingly. Figure out how do you exploit that programming. I think it’s a good thing for us to enable our customers to access that programming in new and exciting and interesting ways. I think that’s a great opportunity for us to do that. But we need to do it in ways that have us fairly compensated for our value of our content. Like our content is incredibly valuable, we can’t just throw it out there to everybody. We got to make sure that we’re putting it out there on terms that get us fairly compensated for the content we create.
Benjamin Swinburne: Thanks a lot.
Reed Nolte: Next question, please.
Operator: Comes from Tom Eagan, Collins Stewart.
Thomas Eagan: Super, thank you. Just on home entertainment revenue, Chase, I think Time Warner has said that year-to-date; their home entertainment revenue was up about 8%. What was at your date so far at News Corp.? And then I have a follow-up, thanks.
Chase Carey: I think it’s actually up about 10%. And Home Entertainment business because a lot of people sort of going down. It’s actually stabilize for us with each [ph] segments that were going down were actually seeing some nice light there right now.
Thomas Eagan: Right, okay. And then separately, on TV syndication, you mentioned Modern Family. What other titles would be thinking about for the balance of fiscal ‘11?
Chase Carey: I think Dave cited a couple, so I don’t know. How I Met Your Mother is the one that came in.
Thomas Eagan: Right.
Chase Carey: There are a couple of cable properties, I think that …
Unidentified Company Representative: American Dad ...
David DeVoe: American Miracle [inaudible] …
Chase Carey: American Dad and I’d say …
Thomas Eagan: Right.
Chase Carey: Which one of the cable original, both one of the cable franchises as well.
Thomas Eagan: And the pricing of that, are you seeing it up from what it was a year ago?
Chase Carey: And it’s tough – the shows are different shows.
Thomas Eagan: Yes.
Chase Carey: I mean it’s a pretty big can. I mean its good apples and oranges to sort of compare one to the other. I mean certainly, I think the cable market as buying market continues to be a very strong market. I think you’ve seen in this sport industry segment that sort of the prices of things like half hours really move to and we obviously or beneficiary Modern Family, move the whole new levels just in the last year or plus. So, that’s the market. And I think the Broadcast business certainly has come out of it’s the hole it was in a couple of years ago. We’ve got to strike stronger ad market there. So, make that market certainly seems to have been stabilized. But we stop to make those year-over-year comparisons because it’s going to be title driven.
Thomas Eagan: Right, great. Thank you.
Chase Carey: Yes.
Reed Nolte: Next question, please.
Operator: That comes from Spencer Wang, Credit Suisse.
Spencer Wang: Thanks. Just two quick questions. The first for Chase, recognizing that you guys are still involved in the BSkyB transaction, but was wondering if you could speak to News Corp.’s appetite for acquisitions at this stage? There’s been some chatter about perhaps some interest in Yahoo! with the help of outside financing, for example? And then secondly, perhaps for Dave, I know you said that the TV stations are running up about 20% in ad revenues a quarter today. I was wondering if you give us a sense about the looking post the elections for the rest of the quarter. Thanks.
Chase Carey: Now, I guess something like Yahoo! or the press meetings have things to write about. But I think we are now certainly do not need to make any acquisitions. I think we’ve got a great portfolio of businesses that we can grow across aggressively that a good diversification amongst them. And I think what we want to be is make sure we’re start about things, look at things that are out there and if there’s something there and we should consider it. But what we’re going to do so in a very disciplined way. I mean we say that we look it up cable channel; we looked at travel Channel a year ago. We kicked the tires on something overseas recently. And ultimately, they were people looking for values that didn’t make sense to us. And our general preference is to build businesses, not buy businesses. It’s the way that we build the great businesses in News Corp., it’s what where our focus will continue remain. But if we see something that we can – we think we could acquire at a very attractive price that fits, I think we’d want to take a look at it. But we’re going to do so in a very disciplined way. We’re certainly not out shopping for anything. And again, I think our priority and our focus, and our preference is to build this businesses and I think we’ve got real opportunities to do that.
David DeVoe: And as far as on the pacing, we’re staying pretty strong in the second quarter. I think we’re about around 11% X political, so business is very, very healthy.
Spencer Wang: Great, thank you.
Reed Nolte: Operator, I think we have time for one more question from the financial community.
Operator: Okay. And that will come from Doug Mitchelson, Deutsche Bank. Please, go ahead.
Douglas Mitchelson: Thanks so much to sneak it in.
Reed Nolte: Okay.
Douglas Mitchelson: So, Chase, more on cable networks. I guess Dave and Chase. Dave, I just want to make sure there’s no unusual items driving the growth in cable networks like acquisitions? And then, Chase, I mean you talked in this call about building rather buying. You talked about the young channels that are driving such strong growth there. Today’s young channels were yesterday’s new launches. Are you curious when you look at the strategic outlook for cable networks, is there a focus on or a need to continue to stoke the fire with new cable networks launches or is this the stable channels that we should be thinking about for the foreseeable future?
Chase Carey: No. I think the opportunities to build new channels are probably pretty few and far between. I think you’ve got a lot of mouth there, I won’t there say there won’t be one. But I think right now you’ve got a pretty big group of channels, but we’ve got a lot of growth there. We got channels that FX and Nat Geo to which we’re still adding subscribers in a significant way that are not – that we have room to continue to grow even with our big channels. So, it’s not just a little channels where we can add to. And obviously, overseas, it’s a whole different case. I mean overseas, are business that are a much earlier stage. So, the U.S. business I think the places you’d add channel with the fewer far between. I think internationally, it’s a different case. I think domestically, the opportunities are really to take channels and take them to whole new levels. And again, I think use the examples that you used before. Make Nat Geo, Discovery or make FX USA and that opportunity would be increasing our profit and cash flow by multiples not percentages.
David DeVoe: And that’s a strike in the business. I mean you’re getting great franchise cable channels with great revenue growth, driving great margins.
Douglas Mitchelson: Have you fully monetized your domestic channels by launching among your international pay-TV platforms? Have you pushed those out as aggressively as you think you should?
Chase Carey: Yes. We monetized – our domestic channels internationally?
Douglas Mitchelson: Yes, are you taking domestic channels through your pay-TV platforms internationally as much as you think you should?
Chase Carey: We certainly, we’ve taken them very broadly. I mean I guess are the platforms, which I guess would be more specifically the European platforms or India, we certainly done some. But the international channels are really territories and across the row, we certainly have done it. I mean and things like that. Just some a more exportable than others. I mean like Nat Geos, certainly our content and entertainment. We have reviews to drive entertainment channel. Sports is probably applies that’s a bit more local in its contents. News, again, what we do some, it’s probably a bit more local. But certainly, big part of the international story is that it takes advantage of the economy and the efficiencies of using product that travels around the world. We got a lot of products that travels around the world and even movies, TVs, documentaries and the like. Some of it is a bit more local. But we’ve got an awful lot that’s travels around the world and that is what the look to take advantage of. And I guess in the cable channels, the growth, the other dimension to growth is I think going forward is really the digital arena. How do take this product and do people down the road want to get Fox News on an iPad, so that they watch it when their at home. And how do you take forward and develop opportunities that are like that. And I think those businesses – I think there are an array of ways that we can continue to build and add to in ways that exciting for customers and attractive for us. And it’s to building these franchises, build the content we launched in these franchises, original products. I mean FX has done a good job as anybody in the business in terms of launching great, unique original programming, how do we exploit it, how do we develop digital platforms to digital experiences forth that are compatible with FX. I mean I think we have to make sure we do it in a way that was compatible with our core distributors and they make sense, and is additive to our business. I think those opportunities are all there for us.
Douglas Mitchelson: Thanks, Chase. Then Dave, just to confirm, no unusual items driving growth?
David DeVoe: No unusual items driving growth.
Douglas Mitchelson: Thank you.
David DeVoe: Just great businesses and some great revenue growth.
Reed Nolte: Thank you.
Douglas Mitchelson: Thank you.
Reed Nolte: Operator, now, we’d now like to go to questions from the press, please.
Operator: Okay. Our first one comes for Claire Atkinson, New York Post. Please, go ahead.
Claire Atkinson: Hi, Chase. How are you?
Chase Carey: All right. How are you doing?
Claire Atkinson: Good, very well. You talked about wanting broadcast to look more like cable. Beyond growing revenue stream, are there any ways that broadcast can look cable? And then second question, how far off do you see a premium video window?
Chase Carey: It’s hard that’s what’s I’m really talking about at dual revenue stream business.
Claire Atkinson: Okay.
Chase Carey: So that’s – it is really, and there are other nuances you can debate sort of and I know everyone has started talking to Broadcast business. You take great 25 piles to define five shows, cable business is more selective about making cohabit something for 30 episodes and putting it on. So, I think there are other aspects of – if those businesses can learn from each other. But at its core, what you’re seeing is you’ve got a cable business that it’s dual revenue business that is a very healthy strong business. You got a Broadcast business trying to compete with one RBI in its back without a dual revenue stream and it needs to have a dual revenue – the strongest programming and has audiences that are multiples of any other cable channel out there and are ought to fairly valued. And we’ve approached this realistically with a spirit of fairness. I mean we could be asking if you’re looking at the competitive base because we should be looking for a lot more than we are and I think we’ve tried to be constructive about them.
Claire Atkinson: And on the premium video?
Chase Carey: The premium, you mean the window some [ph]?
Claire Atkinson: Yes, like the …
Chase Carey: I think it’s something that’s active right now. I’m not going to put a timeframe to it. But …
Claire Atkinson: Okay.
Chase Carey: But I think it’s something that is active in discussion.
Claire Atkinson: Okay. Thank you very much.
Reed Nolte: Next question, please.
Operator: The next question comes from Sarah Rabil, Bloomberg News. Please, go ahead.
Sarah Rabil: Hi. Thanks for taking the question. I just wanted to expand a little bit further on the film windowing strategy. There are some talks that studios could benefit by further delaying DVD delivery to Netflix and Redbox and the like, and I just wanted to see what your stance on that was?
Chase Carey: Right now, we have the 28th window. I think that’s been a good thing for us. We haven’t been there that long I think probably want to – I do think it’s something we’ll continue to evaluate. So, I think directionally, that’s been a good thing. I think we’ve got a – okay, a bit better handle and a bit more data around it to determine where and what is the right sequencing. I think as BOD continues to grow, you are going to continue to have change in the windowing strategy between DVDs and electronics and when people talk about premiums and the like that this is things will continue to evolve. But again, what I think is that we feel that windowing we’ve done has been good for us and will evaluate where we go from here as we go forward.
Sarah Rabil: Thanks.
Reed Nolte: Next question, please.
Operator: Comes from Georg Szalai, Hollywood Reporter. Please, go ahead.
Georg Szalai: Hi, Chase. I was wondering if you have any initial color on how the Apple TV rental offer has been going, anything you can share on that?
Chase Carey: Not a lot. It’s pretty new. I mean it’s only really relevant once you get the season launched. It’s barely a month into it. So, I think it’s pretty early to be making judgments amongst into something.
Reed Nolte: Thank you. Next question, please.
Operator: And that comes from Amanda Andrews, Daily Telegraph. Please, go ahead.
Amanda Andrews: Hi. I was wondering what your vision is for the U.K, European market to replace the Sky obviously, if you would in Sky? And sort of further on would you consider buying U.K. European production. So it’s going to be some that will come up for sale like Endemol, for example?
Chase Carey: I’m not going – I mean I’m not going to – first, I’m not going to comment on really the Sky transaction. And probably not …
Amanda Andrews: Well, no. I’m just talking about a vision, you’re vision post [ph], obviously, and hence that’s position.
Chase Carey: I think our – look our focus, we have three big businesses to that are really in early growth stage. I mean in one in very early growth stage in Germany. Italy, there was a lot of growth left ahead of it. And I think our focus is to build those businesses. We’ve got the channel business across Europe, which has continued to grow. And I think there’s some markets that were not – that I think are opportunities for us today to expand our channels. So, again, back on the sort of the build versus buy theme, I think our think our focus today is really to build the platforms in Italy and Germany, to build a channels we have across Europe. I think, as I say, forward we’ll be opportunistic and see what’s there, if there’s something that made sense. I think we’d look at it. But our honest focus is we’re not on a – out on a hunting or a shopping spree. I think our focus is on building those businesses.
Amanda Andrews: Where do you look at future synergies between BSkyB, Sky Italia, Deutschland, do you think? Or I don’t know maybe some cost-saving opportunities like buying productions together, anything like that at all?
Chase Carey: No, we said before that Sky transactions is not based on synergies. The businesses we run today, we’re focused on building them to their potential.
Amanda Andrews: And then what about the buying TV production companies in Europe? Is that under consideration?
Chase Carey: Again, I’d rather we – we know a lot about TV production. I guess I’d rather be building them than buying. I guess if there was something uniquely interesting, we’d look at it. But I think our focus is to build those things. I mean we do run a pretty big TV production business today. So, it’s certainly something we know about and we know well and that will continue to our focus, to build on those opportunities. We produced programming in a lot of countries today. We produced programming in Italy, we produced programming in India, we produced programming in places around the world. So, we certainly have a lot of TV production going on. The most of it in the U.S.
Amanda Andrews: Yes.
Chase Carey: But in an array of countries around the world. And again, our focus will be to continue to build those things.
Amanda Andrews: Thank you.
Reed Nolte: Operator, I think we have time for last question from the press.
Operator: Okay. And that comes from Jeff Bercovici with Forbes. Please, go ahead.
Jeff Bercovici: Hi, there. I saw the announcement that you guys made about the numbers of digital sales coming from the times of London hay wall. Just wondering there’s been a lot of discussion about how successful or not that initiative has been. We’d like to hear from you if you think that those numbers are – I mean is that a pretty good idea of what you’re going to see from this? Or do you see that is just kind of the tip of what you can do in terms of digital sales? And also with all these reports that News Corp. is developing an iPad native newspaper for the U.S. are those the kinds of numbers that you have in mind for new digital business that you’ll be doing?
Chase Carey: Yes. I mean in terms of the digital product in Europe, I mean in the U.K., we feel very good about it. And realistically, it’s very early. Digital as a whole, some of these platforms like tablets are just emerging. This is not something that is sort of a one or two quarter gain. I mean this is something that’s going to continue to build over years. And I think we feel that this is a great start, a great foundation, and we really look forward to continuing to build on this. And the whole digital arena is continuing to evolve and build and we’ve got a lot in the broader topic. We have – I think we are looking at array of digital opportunities when we get to a place, but if there’s something we’re going to do, we’ll announce it.
Reed Nolte: Well, thank you everybody for joining us today’s call. If you have any further questions, please call us here in New York.
Operator: Okay. Ladies and gentlemen, that does conclude our conference for today. I want to thank you for your participation. You may now disconnect. 